Operator: Good afternoon. Welcome to Identiv's Presentation of its Third Quarter Fiscal 2023 Earnings Call. My name is Tom, and I will be your operator this afternoon. Joining us for today's presentation are the company's CEO, Steven Humphreys and CFO, Justin Scarpulla. Following management's remarks, we will open the call for questions. Before we begin, please note that during this call management may be making references to non-GAAP financial measures or guidance including non-GAAP adjusted EBITDA, non-GAAP gross margin, non-GAAP operating expenses and non-GAAP free cash flow. In addition, during the call management will be making forward-looking statements. Any statement that refers to expectations, projections, or other characteristics of future events, including future financial results, future business, and market conditions and future plans and prospects is a forward-looking statement. Actual results may differ materially from those expressed in these forward-looking statements. For more information, please refer to the risk factors discussed in documents filed from time to time with the SEC including the company's latest annual form on report 10-K and quarterly report on Form 10-Q. Identiv assumes no obligation to update these forward-looking statements, which speak as of today. I will now turn the call over to CEO, Steven Humphreys for his comments. Sir, please proceed.
Steven Humphreys: Thanks operator and thank you all for joining us. In Q3, we continued to focus on high-margin revenue growth in our strategic business lines to strengthen our balance sheet and our business growth. Our Premises business grew 15% year-over-year to a record $13.6 million, and our video software revenues more than doubled year-over-year. This brought our software services and recurring revenues to a record over 20% of our total Premises business. However, in the Identity business, mostly within the lower-margin products of our RFID segment, we had a major revenue shortfall, coming in about $3 million below what we had planned. We'll talk about this in more detail later, but I wanted to address it early. We had three customers, in particular, push out orders in the library, packaging, and warehousing and logistics categories that delayed shipments, which we expect to recover by the end of Q1. We also had a design change in a logistics application that affected Q3 revenue. One action we're taking immediately from a planning and communication perspective, we're moving to quarterly revenue guidance. This way, we can factor in every upside and downside and give clear projections as quickly and completely as possible to our investors and analysts tracking our business. Now, let me first address the RFID segment of our Identity business. I want to be clear about one fact, our RFID strategy is intact and making progress. The revenue miss is very frustrating, but it does not harm our core business progress in high-value Specialty Complex RF-enabled IoT solutions or SCRI. This is a category where truly leading is happening, but it's still early stage. This is a high-margin business opportunity in the RFID segment. We now have over 50 customers in the $20,000 revenue range who've deployed new innovative SCRI products at the pilot stage, many coming from nonrecurring engineering engagements with us. Some of these applications can scale to $20 million annually or higher based on the market sizes for their end products. Now, many of you are familiar with the NRE terminology we focused on for tracking early-stage opportunities. We'll continue to update on NRE stage opportunities, but our business update focus going forward will be more targeted to pilot stage opportunities, which is the next stage past NRE. At the pilot stage, projects are typically poised to move into production scale based on the application success in their end market pilot. Additionally, our most important vertical for SCRI healthcare now accounts for more than half of our NFC-based revenues. This reflects our drive over the past two years to emphasize large potential high-margin healthcare applications. Even at their current early-stage volumes, some of these health care applications carry gross margins in the 40% range, suggesting even more margin opportunity over time. Because the demand pushouts in Q3 we’re in the lower margin part of our RFID business and our higher-margin projects are growing well, despite the revenue shortfall. We had our highest gross margins and highest adjusted EBITDA since Q3 2021. In the Identity segment overall, margins declined primarily due to a year-over-year decline in gross margins in our Identity reader product line. We expect Identity to reader margins to return to historical levels in the current quarter. Fundamentally, we clearly need more pipeline in our RFID segment, particularly in SCRI applications to offset surprises like this. It's a big impact. We've taken action on people and processes to keep it from happening. We're tracking demand carefully to avoid another revenue miss versus established expectations to make sure we're not seeing a more fundamental demand slowdown in some markets, particularly the categories that pushed out demand in the lower-margin RFID applications in Q3.  Let me now talk about our Premises business in the Physical Security sector. Premises overall revenue grew at more than double the industry's growth rate, while video and total software services and recurring revenues grew at an even faster rate. Commercial customer expansion with 14% revenue growth is on track with exciting potential based on many new product offerings and positive market dynamics. For federal customers, normally, Q3 is strong, and this quarter was no exception, with federal revenues growing 16% year-over-year. Federal growth was strong despite two short-term headwinds. First is the continuing government budget confusion happening right during fiscal year-end, which usually is the strongest buying period for federal customers. Second was a ransomware attack that hit one of our largest federal integrators. This resulted in them being unable to issue new orders during the critical last weeks of the quarter, which have now resumed. Without these headwinds, our premises growth would have been more than $1.5 million stronger. In premises, among several exciting new products, we went in the full launch of our cloud-first small to medium business product, Primis, along with a totally new edge controller, our EG2, and our Primis mobile app. This is a big industry statement, creating the standard for a high-security cloud offering in the SMB space. Additionally, we've released Enterphone 10.3, along with Enterphone Mobile, creating materially more sales potential. And very importantly, we launched Vision AI, our video intelligence solution that's now a standard feature in all of our video offerings. I will elaborate further on the significant implications for these releases, but one notable metric of our progress is our high-margin software services and recurring revenues, which increased over 16% sequentially from Q2 to Q3. There's still a portion of revenues that are perpetual license revenues, which we expect to convert to subscriptions. This is a relatively near-term recurring revenue growth opportunity because it's grounded in our own customer base. Now the Premises business is taking advantage of several favorable trends in the Physical Security sector for which Identiv is exceptionally well positioned. To call out a few of these, Physical Security infrastructure is being used for other value-generating objectives within the enterprise driving strong and rapid ROI for investments. The big CRE Prop Tech trend, where Identity, access control and video technologies are critical to new business paradigms for how office space will be used and managed. Next-generation cloud-based technology with recurring revenue models being deployed in Physical Security solutions, driving substantial customer upgrades and significant new market penetration. Now the Physical Security industry is late to this party, but the acceleration of this trend will be dramatic in the next several years. AI technologies deployed across physical security solutions dramatically enhancing efficacy and lowering total cost of operation. And finally, the convergence of cyber and Physical security. So in summary, Premises is growing at double the market rate. Growth is well balanced across commercial and federal. Video software doubled year-over-year and software services and recurring revenues grew to over 20% Premises revenue. These metrics position us as one of the strongest performers in the physical security industry. Now let me go into the dynamics in our RFID business in more detail before I turn the call over to Justin. In the Identity segment, our RFID-enabled IoT business shipped 54 million units in Q3, up 18% year-over-year and made strategic progress, especially in SCRI applications in health care, our most important vertical. We shipped 0.5 million units of a prototype samples for an auto-injector project, which now has received FDA approval. As I mentioned earlier, health care now accounts for more than half of our NFC-based revenues. This progress in SCRI products is also reflected in our production dynamics. We do over a dozen product changeovers on each production line over the course of the quarter, which is needed for production of early-stage products. That's 100 changeovers across our eight primary process production lines that we did in Q3. None of our competitors can deliver as fast, flexibly and with high quality despite the technical complexity and short runs they need to meet these demands, it's extra work, but we're confident that it will pay off. As a result, we believe we're serving the majority of the industry's early adopters for SCRI, both at the design stage and in pilot production. Our competitors are focused on running hundreds of millions of commodity tags on a single production line nonstop. We are optimized for high-end devices eventually built into products and experiences as customers move beyond tags, stuck on to them and thrown away. We're the clear leaders both in engineering and in the flexible production these customers need. This is why we have Germany, Singapore and Thailand doing engineering and prototypes, flexible production and volume production. It's an exciting new category with a very large TAM defined by the potential number of units of RFID-enabled products in each of our customers' use cases. Now another production-related metric. In Q3, we delivered 11 million units of Wiliot IoT pixels, down from the quarter prior level, partly because of a cost reduction process change we made. We had to revert to our prior process and the delay did affect about 1.5 million units we could have shipped otherwise. Now as we continue to focus on health care applications and specialty devices like these, demand can fluctuate quarter-to-quarter in early-stage applications that haven't yet stabilized. However, it does not affect our strategy or market leadership in SCRI. Since we stayed disciplined and kept our high-value focus, we fell short on revenues, but our overall company working capital strengthened, receivables are healthy, overall gross margins expanded and our strategy is progressing. For example, as I mentioned, we're managing about 50 pilot projects, which is growing as we discussed earlier. We made the progress in health care that I described earlier, and we've got a larger range of potentially large-scale SCRI use cases than ever. As a result, we're more excited about the prospects for this business segment than at any time in its history, given all the potential we can see for new dimensions of growth and profitability. So in summary, our Premises business made the industry beating growth I mentioned and our leadership in the RFID sector focused on SCRI applications also built a wider and stronger base. From an investor perspective, it's important to know that the company's business model is strong enough to manage near-term revenue shortfalls and keep driving our core business objectives as our strategic business units built stronger competitive positions in Q3. We're also committed to strategically acting so that we optimize our value creation potential across both of our larger strategic business units. Our Board-led strategic alternatives review process was a major focus and activity in Q3 and will continue to be in Q4. I can't comment in detail, but as we've said before, we have two great growth businesses with excellent value creation opportunities. We're exploring very interesting prospects for each business unit and the business as a whole. Each business unit has different capital needs and both need aggressive management execution focus, but they're materially different businesses. We're working this thorough strategic review process led by our Board. At the same time, we put intensive efforts into managing these businesses. Now time lines can never be totally predicted, but my personal assessment is that we'll be successful with a meaningful strategic action sometime in the beginning of 2024. We have exciting businesses with huge potential. We're going to make sure we optimize this opportunity for our shareholders. So with that, I'll pass the call over to Justin to review our third quarter financial results in more detail. Justin?
Justin Scarpulla: Thanks, Steve. As Steve mentioned, despite a revenue shortfall in RFID, in Q3 2023, we were able to deliver record revenue for our fiscal third quarter, while also expanding sequential and year-over-year gross margins and EBITDA to their highest levels in eight quarters. We also continue to maintain a strong working capital position. We believe these results prepared with our focus on driving disciplined growth in both our identity and premises businesses, including our new cutting-edge premises products, our focus on SCRI and build-out of our Thailand facility position the company to continue its growth momentum in the fourth quarter of 2023. Third quarter 2023 revenue was $31.8 million, lower than our expectations, as previously noted. This represents a 3% increase versus the comparable prior year period and an 8% increase versus Q2 2023. Third quarter 2023 GAAP and non-GAAP adjusted gross margin was 37% and 39%, both above consensus estimates as we're able to expand margins in our Premises segment offset in part by a decline in margins in our Identiv segment related to product mix, particularly in the Identiv reader product line. GAAP and non-GAAP adjusted gross margin reflects our continued focus on maintaining our margin profile in 2023, while continuing to increase our investments in technology and manufacturing processes and equipment. We remain committed to a long-term non-GAAP adjusted gross margin target of 40% to 45%. In the third quarter of 2023, our GAAP and non-GAAP adjusted operating expenses, including research and development, sales and marketing and general and administrative costs were $11.6 million and $10.3 million, respectively, a decrease from Q2 2023, marking the second consecutive quarter we were able to expand our operating leverage by delivering expanded revenues in excess of our operating expenses. We expect this trend to continue in Q4 2023. Qur Q3 GAAP net loss attributable to common shareholders was $0.3 million or $0.01 per share compared to GAAP net income of $0.2 million in Q3 2022 and a GAAP net loss of $1.5 million in Q2 2023. Non-GAAP adjusted EBITDA was $2.2 million in Q3 2023, an increase of $0.1 million versus the comparable prior year period and $1.5 million versus Q2 2023 as we are able to increase revenue and expand our GAAP and non-GAAP adjusted gross margins, while maintaining our operating expense profile. This was consistent with our continued strategic investments in R&D, evidenced by our new product launches in the premises business and in capital equipment for our Thailand facility in our Identiv business. In the appendix of today's presentation, we have provided a full reconciliation of GAAP to non-GAAP financial information, which is also included in our earnings release. Our next slide further analyzes trends by segment. Beginning with Identiv, revenue from our Identity products totaled $18.3 million or 57% of our total revenue in Q3 2023 compared to $17.7 million or 60% of our total revenue in Q2 2023 and 62% of our total revenue in Q3 2022. This reflects an increase in RFID and legacy smart card reader sales, offset in-part by a decrease in our access card sales. Our Q3 Identity segment, GAAP and non-GAAP adjusted gross margins were 21% and 23%, respectively, a decrease of 2% and 1%, respectively, as compared to Q3 2022. The decrease in gross margins is primarily due to product mix and our legacy smart card readers. Quarter-to-quarter margins can fluctuate but we expect long-term margins to trend upwards from current levels as we expand and deepen our existing customer and technology partnerships and increased production at our Thailand facility, which has lower manufacturing costs than our Singapore operations. We remain committed to a long-term gross margin target of 35% to 40% in our Identity business. Now turning to the Premises segment. This segment accounted for $13.6 million or 43% of our total revenue in Q3 2023 compared to $11.8 million in Q3 2022, an increase of 15%. The year-over-year increase in Premise segment revenue was across both federal and commercial businesses, including many of the verticals Steve mentioned earlier. We saw increases in both our access control and video product lines and software, services and recurring revenues. We continue to execute our go-to-market strategy by offering a comprehensive end-to-end security platform solution. GAAP and non-GAAP adjusted gross margins for Premises in the third quarter of 2023 were 60% and 61%, respectively, an increase of 2% compared to Q3 2022 and demonstrate our ability to expand our margin profile. We have achieved and remain committed to a long-term gross margin target of 55% to 60% in our Premises business. Moving now to our operating expense management. Our non-GAAP operating expenses in the third quarter of 2023 adjusted to exclude restructuring and severance costs and certain non-cash charges, consisting of stock-based compensation and depreciation and amortization, was 32% of revenue compared to 31% in Q3 2022 and 36% in Q2 2023. As noted previously, we expect quarterly operating expenses to remain at their current levels. Now turning to the balance sheet. We exited Q3 2023 with $20.9 million in cash and cash equivalents and restricted cash, a decrease of $1.3 million from Q2 2023. In Q3, the decrease in cash was a result of $0.3 million in cash used in operating activities, $0.6 million in investing activities primarily related to capital expenditures and $0.2 million from financing activities. Our working capital exiting Q3 was $49.8 million, an increase of $0.6 million from Q2 2023. Notably, inventory decreased $1.7 million in Q3 as we work through our strategic inventory balances. As a result, we expect to continue rebalancing our working capital and anticipate repaying our revolver balance in 2024. In our 10-Q filings, we will be providing a full reconciliation of the year-to-date cash flows. For completeness, we have included the full balance sheet in the appendix of today's earnings release. As Steve mentioned, considering our recent quarterly variations as a result of demand pushouts in some of our lower-margin RFID categories, along with the persistent macroeconomic uncertainty, we have decided to move to quarterly revenue guidance. Consistent with our normal revenue seasonality, Q3 is our strongest quarter for the fiscal year, and there is a dip in revenues from Q3 to Q4. Given our Q3 revenue level of $31.8 million, this implies a Q4 below the $31 million range. Factoring in a conservative view of lower-margin RFID customer demand leads us to an expected Q4 revenue range of $29 million to $31 million. This concludes the financial discussion and I'll now pass the call back to Steve.
Steven Humphreys: Thanks, Justin. As we go into the end of 2023 and into 2024, we expect the shortfall that we had in Q3 and our lower-margin RFID products will be behind us. Although, we're watching very carefully the customer segments that pushed out demand. Despite these concerns, we expect our high-margin use cases in SCRI will continue to grow and expand to new customers. In premises, we expect to continue the growth, margin strength and recurring revenue expansion. As a result, we expect to keep our balance sheet and working capital strong as we build our competitive value in both of our businesses. Let me start by addressing the Identity business, particularly focusing on the RFID segment. In RFID applications for IoT, we build value three ways: first, by supporting NRE projects and subsequent pilots for technically complex applications, which sustained higher margins and give us an edge for full-scale production orders for our SCRI applications. Second, by solidifying a reputation as a specialty applications provider, reinforcing our industry leadership as evidenced by our joint marketing and product initiatives with partners like NXP, Wiliot and CollectID and our R&D lab expansion that can support the entire range of customer profiles. And third, by expanding our lower-cost production footprint in Thailand, giving us the scale and flexibility to be the best provider to the growing demand for RFID IoT solutions while simultaneously lowering our production costs, enhancing our cost competitiveness and supporting gross margin expansion. Now let me now address our premises business. In physical security, we accomplished our leadership goals in five ways: First, by offering a tightly integrated end-to-end physical security solution that goes from identity provisioning to all facets of access control through the integrated video surveillance, all enhanced with analytics-based intelligence throughout with a single pane of glass interface for control supervision. We do this with our complete suite of Velocity, Primes, touch security, TS credentials and uTrust products, differentiating ourselves from other vendors who specialize in only one or two aspects of a complete physical security solution. Second, by growing our leading position in federal physical security product sales with solutions that protect and modernize federal government systems, including FICAM compliance solutions and FedRAMP solutions for the fast expanding move to cloud-based services. Third, by bringing high security and our trusted brand to the SMB market, leveraging our market-leading expertise in enterprise scale, high security into our new Primes Cloud, EGT controller and encryption bridge offerings, thus making a complete high security solution available to millions of smaller businesses in a reasonable price performance formula. Fourth, expanding our presence in the enterprise market with our complete solution approach but importantly, focusing on sales of our Cirrus cloud offering to our existing enterprise installed base and new logo sales potential with a particularly large enterprise installed base, the potential here is truly meaningful. And fifth, consistent with all four of the objectives above, we're working to drive a higher mix of high-margin recurring revenue, carrying 80% plus margins across the business. To continue to drive this growth, we're committed to keeping a strong balance sheet with healthy working capital to fund our strategic growth initiatives. We continue to tightly manage our expenses reflected in the sequential reduction in expenses, but still prioritizing investments in key growth initiatives. Now to discuss the specific drivers in each of our business segments in more detail, let's start with the Identity business, particularly focusing on the RFID segment. SCRI offerings, notably in health care and medical devices are the most strategically important market for our RFID IoT solutions, whereas our competitors' business models are fundamentally focused on low-margin commodity products, our emphasis on delivering solutions that meet the challenging technical requirements of our SCRI customers positions us to generate stronger gross margins. Now, it bears repeating that health care projects move slowly. There's progress quarter-over-quarter, but large-scale ramps are difficult to forecast. Many are in evaluation with our existing customer pilots, and we have more inquiries for high-quality health care NRE projects than we can reasonably support. The NRE and pilot pipeline is healthy, and we've been devoting more resources to the best near-term production rollout revenue-generating opportunities. We continue to support five different auto-injector projects across four different companies with various ASPs ranging to over $1, depending on the complexity of the solution. This remains an exceptional category of opportunity. Sales of our Spoken Rx prescription pill bottle solution remains steady. We continue to see a big opportunity with the ever-expanding prescription medication market, but near-term issues with the pharmacy channel have created a modest challenge. In smart packaging, we're seeing more traction with our life of garment applications that can be embedded in apparel and accessories. In Q3, several European football clubs have launched Collect ID-enabled merchandise for the current 2023 to 2024 season. We've also partnered with E.ON, a global leader in product digitization for the new Coachtopia sub-brand from Coach. Our solution supports the sustainable circular business model objective of Coachtopia and we see sustainability applications to be a long-term growth driver for IoT. On the chip supply side, we remain in a good position. NXP continues to be a strong partner a health care-focused marketing event we co-hosted with NXP in mid-September was well received and in recent joint business planning sessions they've communicated that we are expanding our position as the most technically capable and most responsive for high-end specialty applications of NFC-based RFID devices. NXP remains our key technology and channel partner, but we're also continuing to diversify our revenue by chip type, including STMicro, Assign, TI and others. Finally, we continue to expand our low-cost production capacity in Thailand. Our initial CapEx in Thailand is essentially complete, and we have more equipment on order for delivery through 2024 to continue scaling capacity. We expect the advantages of producing IoT devices in Thailand lower production cost for rent and labor, shorter supply chains and an advantageous tax status to improve cost competitiveness and further drive margin expansion. So let me now continue with the premises business, specific growth drivers in physical security. In the premises business, security solutions are becoming central to every business leader in CIOs planning, and the CISO in most all enterprise businesses are significantly more important today. In both commercial and government organizations, this is one of the few noncontroversial nonpartisan areas of investment. This is in part because functionality for the security system infrastructure provides value well beyond security, in business intelligence, marketing, safety and compliance, operations management and beyond. Investments in upgraded security infrastructure can have a very rapid and strong ROI. We benefit from a broad base of recession-resistant customers, particularly focused on higher security across federal and local government, education across K-12 and higher-ed, hospitals, airports, banks, utilities and more. The value proposition of our tightly integrated end-to-end system is clearly resonated with commercial customers. End users appreciate our complete solution, but integrators are an even more effective leverage point. It's significantly more profitable for integrators to implement systems from fewer partners. It reduces their training costs, consolidated purchase order complexity, allows for faster and more efficient installations and makes ongoing system maintenance easier and more profitable. Now some of our competitors have recently created opportunities for us by either actively reducing their integrator channel or even circumventing them and going directly to end users. This might look attractive in the near term, but ultimately harm scalability and growth leverage and ultimately profitability. Especially with the migration to a more recurring revenue-focused solution model, we believe a strong channel base is critical to success. Competitors undermining their channel and integrators search for progressive and profitable solutions to deploy, has created a meaningful market share opportunity for us in the channel. In addition to these opportunities in the commercial market, our federal business is strong with great potential for expansion. We focused on maximizing share of wallet with federal customers reflected by our continued strong growth in federal billings of 16% year-over-year in Q3. As we mentioned, we're not for the turmoil in Congress at the end of September, our federal sales could have been even higher. As we also mentioned earlier, video software sales more than doubled year-over-year. Videos included in any complete security solution these days, and our Velocity vision was designed to encompass all of the components of a full-range enterprise-class video system, including an analytics offering with Vision AI as a standard feature. This also supports our integrator strategy I just mentioned and gives customers truly best of breed across identity, access and video. Adding high-performance video analytics gives both the high security foundation and leading-edge AI technology for our most progressive customers. Another growth driver is Primis, our new SMB market product suite. We can leverage our enterprise-level technology expertise used in some of the most highly secured locations in the world and offer that high-level security at a cost-effective price point for millions of small and medium-sized organizations. We demoed our Primes products at the recent GSX show and had great feedback from both integrators and prospective end users. Complementary to Primis is the EG2 Edge controller, a resilient smart controller that allows door access management from anywhere.  This solution can also be used for customers with many locations for a cost-effective option to have uniform access control across distributed organizations. With Primis Cloud, we're piloting pricing models that we believe will accelerate ease of adoption for the channel enhancing recurring revenue growth. This is made possible by the high margins we have in our Edge Gateway and encryption bridge devices. An additional trend the physical security industry is embracing is the convergence of identity management for logical as well as physical security. A Gartner study in 2022 found that 41% of enterprises participating in Gartner's Physical Security emerging trends survey plan to converge parts of their cyber and physical security operations by 2025, and this is up from just 10% in 2020. Identiv is especially well positioned to lead this emerging market demand. Our identity readers, which are in our Identity segment, provide logical access as well as being used as enrollment and issue in state systems to provision access control identities. We have deep technical roots in secure authentication as well as a wide market presence. For example, we believe we provide the vast majority of identity readers for DoD personnel to log into their networks and laptops, which is a reference use case shows our reputation and technical capabilities. We've extended this technical depth into sensitive use cases such as payment terminals, gaming machines, FidoKeys and secure tokens used by one of the largest German defense manufacturers in their military products. As the secure identity and data access requirements converge with physical security, we believe Identiv's technical expertise and product range is another advantage that none of our mainstream competitors can match. We're well-positioned and even ahead of this trend. Now let me summarize thoughts on the business as a whole. As you can hear from our comments, we're very positive about the value creation and industry leadership progress we think we're making in both of our businesses. We have the metrics to show it, and industry participants and customers are acknowledging it. From a business planning perspective, we're expanding our next-generation products, we're moving to higher-margin recurring revenue-based business models, and we're expanding our channel, but at the same time, putting more focus on our best integrators, all of this while investing carefully only in high ROI initiatives. We've got a recession resistant set of markets for our medical and other high-value RFID solutions with the potential for significant growth. In physical security, it is, by its nature, a solid performer through different economic cycles, but it's uniquely positioned for extraordinary growth given the growth drivers we've outlined. We have challenges we can manage while we continue to focus on growing our business. Some of our RFID business can fluctuate with economic cycles, especially lower margin and cyclical categories like libraries, consumer products and logistics and warehousing products. Our customers only deferred revenues, but these lower margin and cyclical categories need to be watched closely. Additionally, product for one of our largest customers are shipped to Israel before going onwards to end users, we have to be realistic that shipments could be disrupted in that part of the world affecting our business. But again, with potentially little impact on EBITDA. We currently have alternative demand to offset most of these risks, but we're watching them closely. The situation we will not allow is to over order or overproduce in a way that slows down the strengthening of our balance sheet, margins or working capital. As we mentioned, we're now moving to quarterly revenue guidance. So for Q4, we're anticipating revenues in the $29 million to $31 million range, with continued strong contribution from our Premises physical security business. With more granular communication of near-term business performance and the expected completion of our strategic business alignment early next year, we believe we'll be well-positioned to build the business value we've been working towards as we head into 2024. With that, I'll now ask the operator to open the lines for your questions. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And the first question today is coming from Jason Schmidt from LakeStreet. Jason, your line is live. Please go ahead.
Jason Schmidt: Hi guys. Thanks for taking my questions. Just a clarification on your commentary regarding normal seasonality, looking into Q1, historically the identity business is down sequentially. But just considering some of the pushouts you've seen, could you actually be flat to up? Or do you still expect that normal seasonal pattern?
Steven Humphreys: I think we'd still expect the normal seasonal pattern. Jason, maybe it will be moderated a little bit as you're saying. In fact, I would expect it will be moderated a little bit because we have some things that should push into it. So that should give us a little bit of strength. But as you can hear from the commentary, we're trying to be cautious about customers that might be -- just not reliable. It's very frustrating with somethings to happen. But fundamentally, I think you're right. They're a little bit less down than normal is certainly something we're expecting unless something changes.
Jason Schmidt: Okay. That's helpful. And then just as a follow-up, when you look at that RFID pipeline, understandings, where are the customers pushing things to the right? Have you seen any significant cancellations though?
Steven Humphreys: We haven't. They have all been push outs. But again, I'm just very cautious because there were some push outs that were late in the quarter. And the biggest challenge is when you get a push out late in the quarter because we have to produce, we don't have a lot of flexibility to pivot on there. So -- but so far everything has just been a, oh, we're going to be taking it next quarter and we're managing our inventories. That's the storyline, but the impact we can't tolerate, But that is what we're being told so far. If we hear something different, our intention is to share whatever we're hearing.
Jason Schmidt: Okay. Understood. Thanks a lot, guys.
Steven Humphreys: Thanks, Jason.
Operator: Thank you. Your next question is coming from Anthony Stoss of Craig-Hallum. Anthony, your line is live. Please go ahead.
Q – Anthony Stoss: Thanks, guys. Good afternoon. Just to confirm, all of your supply constraints have now been fixed or is it just a factor of less revenue or do you think truly if you had unlimited demand you'd be able to get a limited supply?
Steven Humphreys: Yeah. I think the supply side is in very good shape, both from each vendor and also the diversification that we've got on vendors. We've got -- if anything, we've got some positive PPVs and freight and other things that are contributing a little bit to gross margin and OpEx being better. So it has turned the corner from that respect.
Q – Anthony Stoss: Got it. And then on your Q4 guide, just curious, it seems like Justin may mention OpEx flat sequentially. Curious on kind of gross margins for Q4, what you expect both OpEx perhaps and gross margins for 2024 as a whole?
Justin Scarpulla: Yeah. I think that we'll continue to see what we saw in Q3. I think we talked a little bit out. OpEx is relatively flat and margin. There's a little bit of a mix in there. We do expect a little bit of a bounce back on the identity side, slightly lower margin. There might be a little push on pressure on margins in Q4, but pretty consistent to Q3, which as you can see, we're above expectations.
Q – Anthony Stoss: And then just your thoughts, Justin, on OpEx going forward into 2024? Are you going to try to keep them at these similar levels all throughout 2024?
Justin Scarpulla: We're hesitant to give 2024 guidance, as you said, but if I were to directionally comment on it, yes, I think it would be consistent with 2023.
Q – Anthony Stoss: Got it. If I could throw another one for Steven, healthcare definitely becoming a great category for you guys. I think it's definitely the right place to be. Of the pilots that you have in healthcare, I'm guessing it's a small number. But how many of those or percentage or ballpark, just any more color, would require FDA approval before they would move forward?
Steven Humphreys: Very few are FDA approval folks. In fact, it was just that one which we highlighted from the beginning when we knew we'd have to go through approval. Typically, we're on the device side of things. So if you're just doing a peripheral aspect of the technology on the device, you can typically get, I don't know all the details of the FDA structure, but apparently there's umbrellas in which they can slide it in and carry it under their FDA approval for the overall device. That just wasn't the case for the auto injector, partly because of the volumes and I think the medication that they're thinking about for it that they were being very careful that it was FDA-approved top to bottom. But typically, not nearly as much. In fact, we've got a Amir Khoshniyati on the line. Amir, you want to add a little bit more color to that in terms of what you're seeing directly from the customers related to FDA approvals or not?
Amir Khoshniyati: Yes, very much aligns to the points that were made. If it's not hindering how the product works, it doesn't strive a requirement to hit the FDA mark. The auto injectors that we're working on and where we make progress, that one had to do with the label adjusting a physician because RFID tag was going right behind that label. That's the reason that one was submitted to FDA. But in summary, the majority of them are not going that compliance route. So, that's to our advantage from the time cycle.
Q – Anthony Stoss: Got it. Thanks. And since you're in the line of here, I'm just curious, are you getting any pushback with the slowing economy on ASP or any pricing pressure from your prospective customers?
Amir Khoshniyati: No pressure, as Steve mentioned, because of the health care focus, it's pretty recession-proof. The only challenge we have is this is a slow-moving segment, just getting the approvals through these organizations. And specifically, when the product does get speced and it goes to from an NRE to a small pilot run to a controlled run, these processes typically move pretty slow because they don't want the product to become a bottleneck in the supply chain. And once we get through that phase, the ramps typically pick up exponentially, but that's our challenge working in health care. It's having the patients to really work through their approval cycle.
Q – Anthony Stoss: Got it Thanks for all the color guys. Best of luck.
Steven Humphreys : Thanks Tony.
Operator: Thank you. [Operator Instructions] Our next question is coming from Craig Ellis from B. Riley Securities. Craig, your line is live, please go ahead.
Craig Ellis: Yes, thanks for taking the question and team, nice job on the adjusted EBITDA in the quarter, nice to see it moving up. Steve, I also like the change in the guidance period from annual to quarterly. I think that makes a lot of sense in a macro that is this volatile. But I wanted to make sure I understood what was really changing as we go from where we were, which is annual guidance, which shaded up to $127 million and now calendar 2023, which is $117 million. It looks like from the comments, about 60% of that is the low-margin RFID IoT pushouts in another $15 million was some of the one-offs that you had in premises in the quarter that you detailed. Is that right? And then what would make up the other, call it, 25% to the variance.
Steven Humphreys : Yes, I think you've got it structured right. And the other part, which is Q4 variance per se because you characterized some of the Q3 and the Q4 there is some conservatism. I mentioned that one of our biggest customers in Israel -- and we ship -- we transship through Israel, everything gets tested there and then sent on to a big customer in the US. We just have to be realistic that things could happen there, and we're already seeing some things that are creating friction in the system. And then similarly, I mentioned library and consumer goods. And until we see demand as well as payment reliability and everything else that goes with a healthy customer relationship, we're just trying to be careful that not only will we have the demand, but it will be healthy demand, proper margins, proper payment terms and no compromises on the balance sheet.
Craig Ellis: Got it. That's helpful. And then next question is related to gross margins. It's actually a two-parter. I'd love to see the premises pop to 60%, the up 200 basis points, is there anything structural there? Or were those more one-time period benefits in the quarter? And then on the identity side, I would have expected with the low margin push out for gross margin to be flat or better, but it was down, so why would it be down if we were mixing out some lower margins that be a push-up?
Steven Humphreys: Sure. I can take that one. On the Premises side, it was largely mix, our readers and controllers and access control. Carry a higher margin. We had a strong Q3 driving the margin up there. So I think that is a good number. It wasn't as much of a one-timer as it is structurally what we're able to sell in the product mix factor within premises in Q3 that benefited us there? And then on the identity side, it was largely attributed to our smart card readers. And we had a pretty big dividend and margin profile there on the smart card readers.
Craig Ellis: Got it. Okay. And then lastly, if I could just pitch one to -- I mean, as we go from really focusing on NREs within RFID, IoT and really focusing on the next step in the process before we get to volume production. What does it mean for your team operationally? And what does it mean for the way that you feel like you can roll up the business to speed? And what does it mean for the ability to either accelerate, either growth or provide more predictable growth? Thank you.
Steven Humphreys: Yeah. Two-pronged answer to that. So the first is the pipeline and the way that we're getting intake to create NRE opportunities. That is staying in place. We're actually putting a lot more investment from a marketing perspective to make sure the webinar is there. We're creating awareness around the SCRI type applications we have. So the demand continues in a steady stream.  But what we're doing with the notation we made with 50-plus customers in the smaller revenue range that are starting to ramp, we're really tasking the sales team to go much deeper into these accounts. To try to find cross-selling opportunities within divisions, not only homegrown, but then also to get involved and try to grow those accounts and ramp them much quicker. So this includes some added services with field application engineering, getting to know exactly how their supply chain works and then really providing consulting level guidance to get the projects to a faster ramp. So it's NRE and then at the same time, it's getting more hands on and much deeper with the customers.
Craig Ellis: Got it. Thanks so much, guys. I appreciate the insight.
Steven Humphreys: Thank you, Craig.
Operator: Thank you. And there are no further questions in queue at this time. I would now like to turn the floor back to Steve Humphreys, for closing comments.
Steven Humphreys: All right. Thanks, operator, and thank you all for joining us today. From this discussion, you can certainly see the strategic opportunities as well as some of the challenges we have in the key parts of our business. Near-term results are certainly what matter the most in public markets. And so we're really determined to make sure that investors have very fast and clear insights at all times, and this is what drove our move to quarterly guidance. We also have three investor events over the next five weeks with Lake Street and Craig Hallen this month and with Imperial Capital in December. And as always, we're available to discuss our business status and outlook with investors. So in the meantime, we're completely focused on building our strategic position in both of our core businesses, driving our Premises and IoT businesses forward aggressively, as well as pursuing our strategic review to maximize the value opportunities for our investors. So thank you all again for joining. And have a good evening.
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time. And have a wonderful day. Thank you for your participation.